Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:06 Welcome to the Lattice Semiconductor's Fourth Quarter and Full-Year 2021 Conference Call. At this time, all participants are in a listen-only mode.  00:33 I would now like to hand the conference over to Mr. Rick Muscha, Lattice's Director of Investor Relations. Please go ahead.
Rick Muscha: 00:33 Thank you, operator, and good afternoon, everyone. With me today are Jim Anderson, Lattice's President and CEO; and Sherri Luther, Lattice's CFO. We will provide a financial and business review of the fourth quarter of 2021 and the business outlook for the first quarter of 2022. If you have not obtained a copy of our earnings press release, it can be found on our company website in the Investor Relations section at latticesemi.com. 01:06 I would like to remind everyone that during our conference call today, we may make projections or other forward-looking statements regarding future events or the future financial performance of the company. We wish to caution you that such statements are predictions based on information that is currently available and actual results may differ materially. 01:23 We refer you to the documents that the company files with the SEC, including our 10-Ks, 10-Qs, and 8-Ks. These documents contain and identify important risk factors that could cause the actual results to differ materially from those contained in our projections or forward-looking statements. This call includes and constitutes the company's official guidance for the first quarter of 2022. 01:44 If at any time after this call, we communicate any material changes to this guidance, we intend that such updates will be done using a public forum such as the press release or publicly announced conference call. We refer primarily to non-GAAP financial measures during this call. 01:59 By disclosing certain non-GAAP information, management intends to provide investors with additional information to permit further analysis of the company's performance and underlying trends. For historical periods, we provided reconciliations of these non-GAAP financial measures to GAAP financial measures that can be found on the Investor Relations section of our website at latticesemi.com. 02:22 Let me now turn the call over to Jim Anderson, our CEO.
Jim Anderson: 02:26 Thank you, Rick, and thank you, everyone, for joining us on our call today. 2021 was a pivotal year for Lattice as we entered a new growth phase for the company driven by our leadership product portfolio and strong customer momentum. Annual revenue grew by 26% with double-digit growth in each of our three market segments. 02:46 Non-GAAP gross margin expanded by 220 basis points year-over-year to a record 63.2% and we delivered record non-GAAP net income which grew 54% year-over-year in 2021. We also continue to expand our product portfolio with multiple hardware and software product launches. In addition, we had a very strong finish to the year. 03:11 For the fourth quarter of 2021, we grew revenue 32% year-over-year with double-digit year-over-year growth in each of our three market segments. We expanded non-GAAP gross margin by 350 basis points year-over-year to a record 65% as we continue to execute on our gross margin expansion strategy. We drove a 65% year-over-year increase in non-GAAP net income and we further expanded our software portfolio with the acquisition of Mirametrix. 03:42 Let me now provide an overview our business by end market for Q4 of 2021. In the communications and computing market, revenue increased 8% sequentially and 31% on a year-over-year basis. We continue to have multiple growth drivers in this segment, including Data Center Servers, Client Computing, and 5G infrastructure. 04:03 In Servers, as we’ve discussed in previous call, our attach rate is now over 1x. Revenue growth continues to be driven by expansion in both attach rates and ASPs as we continue to drive and increase in Lattice’s dollars of content per server. 04:19 In Client Computing, we have multiple programs ramping and multiple opportunities for delivering new innovation to our customers. For example, Lenovo and Lattice recently announced a new partnership where our Nexus platform and our software solutions will be used in Lenovo ThinkPad product line to deliver advanced user experiences, including immersive engagement and collaboration. Lastly, in 5G infrastructure, we’re benefiting from ongoing global 5G deployments with revenue higher both sequentially and year-over-year. 04:53 Turning now to the industrial and automotive market, revenue increased 2% sequentially and was up 32% on a year-over-year basis. Our business grew across multiple applications, such as industrial automation and robotics, where Lattice Solutions provide a significant competitive advantage to our customers. 05:12 Over the past few years, the Industrial segment has been a key growth driver for the company and our product portfolio is well-positioned to drive to sustained long-term growth. We are also pleased with our strong year-over-year growth in automotive, which remains a long term growth driver for us in applications such as ADAS and infotainment. 05:31 Turning now to consumer, revenue was up 3% sequentially and was up 18% year-over-year with growth driven primarily by new applications that leverage our FPGA portfolio. 05:44 I'll now provide some product roadmap highlights. Since the introduction of Lattice Nexus, we've launched four device families based on the platform. I'm pleased to announce that Mach-NX entered production in Q4. We now have three device families in production and ramping with customers, CrossLink-NX, Certus-NX, and Mach-NX. 06:05 The fourth device family, CertusPro-NX was launched last June and remains on track to generate revenue in the first half of this year. We continue to be pleased with the broad adoption of our Nexus platform across all our market segments where the power efficiency and faster performance are helping our customers differentiate their applications and systems. 06:27 We look forward to significant product portfolio expansion this year with our new Lattice Avant platform, which remains on track for launch in the second half of this year. Avant will double our addressable market and will allow us to address the mid-range FPGA applications. 06:43 Customer engagement and moment is very healthy and continues to grow. Avant will create an additional new revenue stream for Lattice as it ramps into production in future quarters. 06:54 Turning now to our software strategy. As we've discussed over the past few years, we've been increasing investments in our software portfolio. These investments are focused on making it easier for our customers to adopt Lattice products and get to market quickly. 07:09 We were very pleased to announce our acquisition of Mirametrix in November, which is an extension of our organic software strategy and adds complementary AI and computer vision capability to our existing solution stack portfolio. This provides us with an end-to-end AI and computer vision solution spanning from the hardware to the application layer and will make it even easier for our customers to adopt Lattice products. 07:35 Mirametrix software has already been deployed on over 20 million end user systems. We've been successfully working with the Mirametrix team for nearly two years and we know them very well. We're very pleased to now have them formally part of the Lattice family. 07:50 In summary, we're excited to have entered a new growth phase for the company in 2021 and to achieve new record levels of gross margin and profitability. Our results in 2021 are a testament to the strategy that we first outlined at our Investor Day in 2019 and the incredible hard work and dedication of the Lattice team. 08:10 I want to thank the Lattice team, as well as our partners and customers with a collaboration, support, and superb execution in 2021. 08:18 Looking forward, we expect 2022 to be another year of strong growth for the company as we continue to execute our long-term strategy. Momentum and engagement across our customer base has never been better. We're bringing new market leading products to our customers and we're very excited about the path in front of us over the coming years. 08:38 I'll now turn the call over to our CFO, Sherri Luther.
Sherri Luther: 08:42 Thank you, Jim. We are very pleased with our full-year 2021 results as we continue to execute to our financial targets. We drove strong double-digit year-over-year revenue growth, gross margin expansion, and record profitability, while continuing to invest in the long-term product roadmap. 09:03 We grew profit at 2x the rate of our revenue growth in 2021. And we generated a record level of cash from operations, while increasing the cash return to shareholders through share buybacks. 09:16 Let me now provide a summary of our results. Fourth quarter revenue was 141.8 million, up 7.5% sequentially from the third quarter and up 32% year-over-year. Full-year 2021 revenue was 515.3 million, up 26% from 2020. The double-digit revenue growth for the full-year 2021 was driven by strong growth in all of our market segments. 09:47 Our non-GAAP gross margin increased 150 basis points to a record 65.1% in Q4, compared to the prior quarter and was up 350 basis points compared to the year ago quarter. Both the sequential and year-over-year increases in gross margins continue to be driven by our gross margin expansion strategy. We also benefited from higher IP revenue. 10:13 Our non-GAAP gross margin for the full-year 2021 was 63.2%, up 220 basis points from 2020. Q4 non-GAAP operating expenses were 45.8 million, compared to 43.8 million in the prior quarter, and 37.5 million in the year ago quarter. 10:35 Non-GAAP operating expenses for the full-year 2021 increased to 170 million from 146.2 million, primarily driven by increased investment in our hardware and software portfolio. Operating expenses remained below our 35% target. 10:55 Our non-GAAP operating margin increased 250 basis points to a record 32.9% in Q4 compared to the prior quarter and was up 630 basis points, compared to the year ago quarter. We continue to balance operating margin growth with investments in the long-term revenue growth and expansion of our business. 11:17 Our non-GAAP operating margin for the full-year 2021 was 30.2%, up 500 basis points from 2020. Q4 non-GAAP earnings per diluted share was $0.32 compared to $0.19 in the year ago quarter, which represents 65% year-over-year growth. Non-GAAP diluted EPS for the full-year 2021 was $1.06, compared to $0.69 for the full-year 2020. This represents 54% year-over-year growth. 11:53 We continue to focus on driving strong cash flow. For the full-year 2021, we generated a record 168 million in cash from operations. This represents an increase of 83% compared to the cash generated from operations in 2020. We also repurchased 1.3 million shares or $70 million in stock under our stock buyback program exiting the year with 132 million in cash. 12:23 Let me take a moment to recap our acquisition of Mirametrix, which closed on November 12, 2021. We acquired Mirametrix common shares for $68.5 million and an all cash transaction. Mirametrix was immediately accretive in Q4 to gross margin and earnings per share. We're excited about the software capabilities Mirametrix will bring in AI and computer vision applications, which will further expand our software portfolio. 12:56 Let me now review our outlook for the first quarter. Revenue for the first quarter of 2022 is expected to be between 141 million and 151 million. Gross margin is expected to be 66%, plus or minus 1% on a non-GAAP basis. 13:16 Total operating expenses for the first quarter are expected to be between 46 million and 48 million on a non-GAAP basis. In 2021, we drove strong revenue growth, significant gross margin expansion, and our profitability grew at 2x the rate of our revenue growth. As we begin 2022, we remain focused on continuing to drive sustained revenue growth and profit expansion. 13:44 Operator, that concludes my formal comments. We can now open the call for questions.
Operator: 13:50  Your first question comes from the line of Matt Ramsay of Cowen.
Matt Ramsay: 14:06 Yes. Thank you very much. Good afternoon everyone. Congrats. Jim, Sherri on an amazing 2021. Jim, my first question, I noticed the growth has been accelerating. So, if you just look on a year-over-year basis, I think you were 19% in Q1 then to 25% to 28% and then delivered, looks like 32% growth on a year-over-year basis in the fourth quarter. Maybe you could walk us through the drivers of that growth acceleration that's happened the last several quarters and maybe try to level set us about what we should think on a go forward basis for growth? Thanks.
Jim Anderson: 14:46 Yes. Thanks, Matt. So, yes, we're certainly pleased with overall growth for last year, but as you said it was accelerating throughout the year with exiting 32% year-over-year growth in Q4. It's really coming from our two primary strategic segments, which are constant computing and industrial and automotive. If you look at those two segments, both of those segments grew over 30% year-over-year in Q4. 15:13 So, we're quite pleased with the progress there and there's a number of different growth drivers that are underneath each one of those two segments. And actually, if you think back to 2019 when we first talked about the new company's strategy that we were putting in place, we talked about the fact that we expected the company to enter new growth phase in the 2021 timeframe and for that growth to primarily be driven by comps and computing and industrial and auto. 15:44 And so, we're really pleased to have delivered on that. First of all, the new growth phase starting in 2021 and accelerated growth, but also the growth coming from exactly where we thought comps computing and industrial auto. And underneath there, we're seeing growth in things like servers where we continue to expand the dollars of content per server, for Lattice, client computing, which is a new greenfield growth area for us that grew really well last year. 16:12 5G wireless infrastructure again grew very healthy on a year-over-year basis and then great growth across industrial automation applications, robotics applications and automotive electronics too. So, a lot of good strong growth drivers underneath those two segments, and that's really where we expect the growth to continue in 2022, and further out in years beyond 2022 as well. It's really those two primary segments. 16:39 And then just as a reminder, we have new product cycles now starting too. In 2021, that was the first – our first full-year of revenue contribution from Nexus. We started shipping Nexus based products at the very end of 2020. And so, 2021 was a first full-year of Nexus contribution to our revenues so that, that we expect Nexus to continue to ramp over the coming years. 17:03 So that's a growth contributor. And then, of course, we have Avant ahead of us as well as we launch Avant in the second half of this year and ramp it into production in outer quarters. That's a growth contributor too. So, a number of different growth factors underneath that.
Matt Ramsay: 17:20 Thank you for all the color there, Jim. You mentioned client computing and this has been something that's been, I think going on behind the scene for a while, but now that you've sort of announced the relationship with Lenovo on Nexus, maybe you could step back and give us a little bit, I guess a bigger picture of how you think about growth opportunities for you in the client in the notebook market for the company overall? What portions of the notebook TAM do you think are applicable to your products? What kind of ASPs might you be looking for? What kind of penetration rates or engagements, just any kind of color of, I mean the PC market is huge. So, we're just trying to get a calibration of the expectations of growth into that space. Thanks.
Jim Anderson: 18:08 Yes, the client computing market, we're pretty excited about that market. You're absolutely right. It's a huge market. It's a huge device and device TAM in terms of units. If you look at PCs well over 300 million units per year. So, it's a tremendous greenfield growth opportunity for us. And there's a number of different capabilities so we can bring to that market, platform hardware security, video aggregation, also artificial intelligence processing for all sorts of enhanced user experiences, some of which we talked about with – in the Lenovo announcement that Lattice and Lenovo had around the ThinkPad. 18:49 So, we're pretty excited about the long-term opportunity here. We had a couple – we had a couple of platforms – customer platforms that started ramping in 2020 and that helped drive really good growth in 2021 and continue into 2022. The Lenovo announcement, these are new additional platforms that will drive further revenue growth and then we're also working with other OEMs to bring new platforms to market as well. So, we've got a number of new design wins in the pipeline that are yet to ramp into revenue. 19:26 So, we feel like we've got a good healthy pipeline as well. But yes, when we look at, for instance, the server market where we’ve, over the past years done a great job, I think of expanding our attach rates raising our ASPs bringing more content to server, and then when we look at client, that market being 20x plus the size of the server market, actually more than 20x, we're pretty excited about the growth opportunities over the long term for us in clients. 19:57 So, yes, we do see it as a good growth opportunity long-term.
Matt Ramsay: 20:03 Thank you very much, Jim. Congrats again. I'll jump back in the queue.
Jim Anderson: 20:07 Thanks, Matt.
Operator: 20:10 Your next question comes from Derek Soderberg of Colliers Securities.
Derek Soderberg: 20:15 Yeah. Hi everyone. Thanks for taking the questions. Great progress on gross margins. So, Sherri I wanted to start with you. Clearly a very strong Q1 gross margin guide. Can you just give us some color on what's driving that? And then I have a follow-up.
Sherri Luther: 20:31 Sure. Thanks Derek for the question. So, if you recall back in 2019 when we laid out our gross margin expansion strategy, we talked about how we were going to grow our gross and over the long-term. And in fact, each and every year since then, we've gone our gross margin by an order of magnitude of a couple hundred basis points each year. And for a total if you take it to our most recent quarter Q4 of 65.1% it’s been a total improvement there of 790 basis points. 21:06 So, really pleased with the progress there, but this is something that we have been working on since 2019. And so, while we generated improvements in Q4 of 150 basis points sequentially and 350 basis points year-over-year, this is something – gross margin expansion is something that we've been executing on that strategy for multiple years now. 21:31 And so, when you look at sort of what it's made up of, it’s made up of many factors, including pricing optimization, product cost efficiencies, higher gross margin on our new products. And so, when you look at our Q1 guide and at the midpoint there of 66%, it's just really a reflection of our continued gross margin expansion of our strategy, continued improvements in gross margin from that strategy as we look ahead.
Derek Soderberg: 22:02 Got it. And then Jim, sort of beyond growth drivers, just building up the earlier question, curious what the limiting factors are to growth this year. I think consensus is expecting low teens for the year, you guys are targeting double-digit growth. Lattice is, sort of universally accepted as a low power leader, so are you guys, sort of just waiting for new product generations to come to market? Is it supply, just wondering what are some of the limiting factors to, you know you guys maintaining the growth rate you experienced in 2021 for this year? Thanks.
Jim Anderson: 22:38 Thanks Derek. Yeah. We expect 2022 as I said in my prepared remarks to be another strong year of growth for the company. I think first of all, across our big market segments of comps and computing industrial automotive, as I mentioned earlier, number of good application drivers that we have underneath that. But also, as I mentioned, new product cycles right. 23:02 So, for instance, with Nexus going now into its second full-year of ramp, we expect that to be a good growth contributor this year and in the coming years. And then Avant further out in time, as well as even the pre-Nexus products we're seeing really good healthy growth from pre-Nexus products. 23:22 Last year, we expect that to continue this year as well. So, we're seeing healthy demand. We're expecting our supply to be higher in 2022 than we saw in 2021. We were able to grow our supply in 2021. We expect to grow again supply in 2022. So again, we expect 2022 to be a very good year, good growth year for the company.
Derek Soderberg: 23:47 Got it. Thank you.
Operator: 23:49 Your next question comes from Tristan Gerra of Baird.
Tristan Gerra: 23:56 Hi. Good afternoon. Just a follow-up on your gross margin commentary for Q1. Are there any one-time items that are benefiting that Q1 gross margin outlook? You've mentioned the IT revenue benefiting Q4, is that a factor for Q1? Is Mirametrix also contributing? And I guess the point of the question is to see whether we should expect further gross margin expansion through the rest of the year as you continue to execute on pricing or other non-recurring factors benefiting your gross margin in Q1?
Sherri Luther : 24:38 Yeah. So thank you, Tristan. So, when you look at our guide for Q1, 66% at the midpoint, a few things there, you'd asked if there's any one-time items? In fact, IP being a little bit higher in Q4, typically we expect IP to be in sort of that 3 million to 5 million range. So, probably wouldn't expect it to be as high as Q4 was. Q4 is a little bit outside of the range that it typically is. It can fluctuate on a quarterly basis. And so, that would be something where you'd actually expect it to come down in Q1. 25:12 The other thing I'll just highlight as well, in Q4 Mirametrix was not a full quarter. It was a less than a full quarter. And so, when you look at Q1, it will be a full quarter of Mirametrix revenue. And then just to calibrate, because we don't break out Mirametrix, but just to calibrate when we announced the acquisition of Mirametrix, we said that their FY 2021 fiscal year revenue was 9 million for their full-year. So, just to calibrate you guys on how big that is. 25:44 And then when you look out beyond – we don't guide beyond Q1, but I’ll just say that the gross margin expansion strategy that we laid out in 2019 we're continuing to execute on that. The pricing optimization, product cost efficiencies, and a higher margin on our newer products are all elements of that strategy that we’ll continue to execute on.
Tristan Gerra: 26:09 Great. And then for my follow-up, could you elaborate on what makes you win in PCs? I know that this was not really a traditional market for FPGA’s and now you're getting really an acceleration of your design win momentum. Are you displacing some other sockets? Is that something that ultimately can get integrated with the   and what are customers really appreciating from the solutions you offer that is resulting in design wins?
Jim Anderson: 26:48 Thanks, Tristan. I would characterize it as we're really helping bring new capabilities to the PC. I think if you look at for instance, the recent announcement from Lenovo and Lattice about the new capabilities that we'll be bringing to the ThinkPad product line together. That's really about bringing new capabilities that haven't existed in the past. 27:08 And so, it's greenfield really in the sense that it's new revenue growth for us, but also greenfield in the sense that it’s new capabilities that we're bringing – that we are helping bring to the industry. And we've got a roadmap of those capabilities. So, it's not just a single set of capabilities, but it's a roadmap over time of additional capabilities that we expect to bring over the coming years. And we're partnering with multiple different OEMs across the industry to bring those capabilities. 27:39 So, we're pretty excited about the value that we can bring in terms of enhanced user experiences. I would also point out that it's more than just bringing the piece of silicon, it's really a full solution. It's the silicon. It's the solution stacks that we've been organically investing in over the past three years. And Mirametrix is part of that solution as well. 28:03 So, it's the ability to bring not just the hardware device, but full solution all the way from the hardware, up through the application layer, which I think is pretty unique for Lattice. And so, we're pretty excited about some of the growth potential that we see ahead of us.
Tristan Gerra: 28:20 Great. Thank you very much.
Jim Anderson: 28:22 Thanks, Tristan.
Operator: 28:24  Your next question is from Mark Lipacis of Jefferies.
Mark Lipacis: 28:36 Hi. Thanks for taking my questions. First one, if I may, Jim, can you help us understand right now, and maybe this is a follow-up to your last answer, can you talk about software  is the sales process at your customers today? Is it chip lead versus software led? And maybe another way to say as that is, are your customers looking at the software first, and then the chip gets dragged along with it or is it the other way around? 29:12 And maybe as part of that, could you talk about the growth that you've seen over the last four quarters? Is there a separate software and line item that you can quantify? And then, I have a follow-up. Thank you.
Jim Anderson: 29:28 Thanks, Mark. Yeah. In terms of the chip versus software led, I would say it depends a little bit on the customer, but I think about it more as it’s a solution led rate where it's – the combination of the chip and the software together that allows us to bring a full solution to the customer and along with that software to get to allow the customer to switch to Lattice devices, easily quickly to switch from competitor devices to our devices to meet that transition very easy, and then to get to market quickly. And of course, it creates stickiness for us long-term as well. 30:05 Now, certainly the software investments that we've made, I think have helped open new doors for us at new customers. I think at existing customers it's helped us expand our share of wallet, but also open new doors to new customers. But I still think it's really about the total solution. And when you look at that revenue, we really view it as revenue from the combined hardware software solution. 30:32 So, at this point, we pre- Mirametrix, we don't have a separate software monetization revenue stream for instance, but with the acquisition of Mirametrix, Mirametrix does bring with it an existing software revenue stream. And over time, I think there is opportunity for us to not just grow the Mirametrix revenue stream, but use that as a basis to look for how do we drive greater monetization of Lattice, the full Lattice software portfolio over time?
Mark Lipacis: 31:07 That's very helpful. Okay. And then a follow-up, that I may, we talked about moving into the mid-range with Avant this year, can you talk about the competitive dynamics there? And now that the AMD Xilinx acquisition has been approved assuming that it closes, does that mean that – do you view that as a positive for the competitive dynamics and to the area you're trying to get into with Avant o do you think it increases the competitive dynamics? And that's all I had. Thank you.
Jim Anderson: 31:52 Thanks, Mark. The short answer on the last part of your question is, we don't believe it changes the competitive dynamic. The acquisition of Xilinx by AMD. We believe the competitive landscape really remains the same. We do think that the competitive landscape in mid-range is favorable right now and that is based on what our customers have told us. And back in 2019 when we were introducing our Nexus product line to our customers and Nexus is of course, focused on the small FPGA part the market. 32:26 As we were introducing Nexus to our customers, we got great feedback on Nexus, great feedback on the power efficiency of the architecture. Well, one of the other things that customers asked us for is, hey, can you extend your power efficient architecture up in the mid-range because we don't see – we don't see a lot of innovation happening in mid-range FPGA’s. 32:48 Lattice is clearly innovating in small FPGAs. Can you extend your innovation into mid-range as well, because we love the power efficient architecture? And so, we had enough customers ask us about that that we took a serious look at that and began investing back in 2019 in Avant. And those customers have helped guide us in terms of the product definition and capabilities. 33:11 So, yes, we see a good market opportunity in mid-range FPGA based on the customer feedback, as well as our own view of the competitive landscape there. And we're really excited to bring Avant to market. As I mentioned in the prepared remarks, we plan to launch Avant in the second half of this year. 33:33 As we've said before, we have over a hundred customers engaged in Avant and we think it's going to be a really exciting product and our customers are definitely anxiously awaiting it and we're pretty excited about it.
Mark Lipacis: 33:51 Great. Thank you so much.
Jim Anderson: 33:54 Thanks, Mark.
Operator: 33:55 Your next question comes from David Williams of Benchmark.
David Williams: 34:00 Hey, good afternoon. Thanks for letting me ask the question and congrats on a solid progress. First, I wanted to ask just maybe about the industrial automotive segment. It's been strong and it seems like this quarter maybe sequentially it didn't grow as much as we had thought. Just wondering if there were anything particular there if this was maybe supply constraints or timing or anything in particular about that market that maybe constraint in the growth this quarter?
Jim Anderson: 34:25 Yeah. Thanks, David. I don't think there was anything in particular. It was constraint in the growth this quarter. We've seen really good solid growth from that segment. If I look on a full-year basis in 2021, industrial auto grew 32% year-over-year, and that follows a strong year of growth in 2020. So, even though in 2020 the industrial auto segment was relatively weak for the industry overall. 34:55 We grew double-digits in 2020 in that segment. And so, we've had two good years of very strong growth. So, I wouldn't read too much into the quarter-to-quarter sequential progress. We feel pretty good about the growth that we've seen over the last couple of years in this segment. We feel very good about the design win pipeline that we have in front of us and the ability to continue to grow and expand in this segment. 35:21 Lattice devices are just a great fit for industrial automation and robotics applications, as well as automotive applications in ADAS and infotainment. So, we expect this to continue to be a growth driver for us in 2022 and beyond.
David Williams: 35:37 Okay. Great. And then maybe just from a revenue split geographically, it seems like Americas was up quite a bit. Is it just more maybe a product ramping or is that something that you think is more of a trend over time? Are you developing, I guess new relationships in the Americas that would maybe change that geographic diversification?
Jim Anderson: 35:58 Yes, definitely. Great question, David. Yes, we actually made some significant investments in our sales and application engineering team in North America in particular in 2019. We believed that we were very under penetrated in the North America geography and that there was a lot of growth – untapped growth potential. 36:21 So, we made some significant investments in our sales leadership and sales, kind of feet on the street both in terms of account management, as well as very importantly application engineering resources. And what you're seeing is, now, the payoff on that investment right? 36:38 So, you're seeing growth accelerate significantly in North America. We're really pleased with that. That's a direct result of those investments that we made back in 2019. I think it's also a testament to the great product lineup that we have today and the roadmap moving forward. 36:56 So, if I look at the product portfolio today, I think it's the strongest product portfolio that the company has ever had in its history, if you look at both hardware and software together and then a very strong roadmap in front of us, not just in small FPGA, but as we’re mentioning earlier, with the new Avant platform, which will launch second half of this year, moving us into mid-range FPGA, our North America customers, as well as all of our worldwide customers see that strong roadmap ahead, see us investing in really innovative competitive products. And I think that's generating a lot of engagement and momentum in our customer base, certainly in North America, but also in our European theater and APAC as well.
David Williams: 37:42 Thanks so much. Appreciate the time.
Jim Anderson: 37:45 Thanks, David.
Operator: 37:47  Your next question comes from Christopher Rolland of Susquehanna.
Christopher Rolland: 37:59 Hey guys. Thanks for the question. Around gross margin, I believe your long-term guidance was maybe 65% and 1Q guide is now beyond that. And I know you don't guide more than one quarter, but I guess, I was wondering, first of all, when we might get an update on that number? And then secondly, hypothetically, why couldn't this number be 70%, given you have this mix with Avant launching, you have continued revenue growth here, general mix up in products? Thanks.
Sherri Luther: 38:44 Thank you, Chris, for the question. So, in terms of our long-term model, when we put that out at our Investor Day in May of last year, it was really a multi-year long-term model. So, a model that we want to achieve over multi-years, and so that's the way that we're looking at it, of course, we always want to meet and exceed the model. That's how the way that we're looking at that. 39:07 And then in terms of our results and why cannot it be greater than 70% or significantly higher? While we're really pleased with the results that we've achieved to date and we talked about those a little earlier in the call, 790 basis points since the end of 2018, but our plan is just to continue to execute on our gross margin expansion strategy of pricing optimization, product cost efficiencies, and also newer products bringing a higher margin to the table. 39:38 So that's what we're going to continue to do and evaluate the long-term model as we move forward, but that's how we're thinking about it.
Christopher Rolland: 39:49 Okay, great. Secondly, a bunch of your FPGA competitors, although they may be more in the mid-range, just have astronomical lead times and they've started to affect other businesses as well, like networking for example. I guess for Jim, what kind of effect is this having on your business here? Is this driving share gains or the two products that's not really fungible or replaceable? And then maybe just talk about the overall rising tide from missing parts and using FPGAs to replace those? What are these, kind of benefits on your business?
Jim Anderson: 40:42 Thanks, Chris. On the first part, I would say that we have definitely seen, especially over the last six months, an acceleration in customers, the customers shifting from our competitor devices, FPGA devices to Lattice devices. I think that's a combination of two factors, I think it's partially our strong product portfolio. I think our customers see us investing in a strong portfolio both from a hardware and a software perspective and strong roadmap moving forward. 41:17 So, I think that gives them confidence that we're there with them today. We’ll be there for them in the future. And then I do think some of the supply chain constraints have accelerated customers move towards us and we're seeing that across the number of different markets, I would say especially in the industrial segment in particular. And so, yes, I think we are benefiting from that. And I think that is, I think that is sticky customer business that I think we'll retain on a long-term. 41:52 And then on the second part of your question, which I think was more about, I think you were getting more at FPGAs replacing other types of devices, for instance like microcontrollers, I would say there again, yes. We continue to see good shift of a good number of customers shifting from microcontroller designs to our Lattice FPGAs, and again there's technical reasons for that because as a lot of our customers add things like artificial intelligence capability, inference capability to their edge devices, the Lattice FPGAs are naturally a good match for that. 42:30 They have higher performance per watt than for instance, a microcontroller and we have a tremendous amount of software to offer our customers to make that transition easy. And I think that the benefits of the Lattice product line-up, as well as some of the constraints that our customers have seen in supply have – those two factors combined have helped push customers to Lattice maybe even faster than what they originally anticipated. 43:01 So, yes, I think we're quite pleased with the customer momentum right now. I would say, the level of momentum and engagement is the highest it’s ever been in the company's history. And we're very pleased about that.
Christopher Rolland: 43:13 Thanks, Jim. I'll get back in line.
Jim Anderson: 43:16 Thanks, Chris.
Operator: 43:20 Your last question comes from the line of Ruben Roy of WestPark Capital.
Ruben Roy: 43:29 Thank you. Hey, Jim, I just had a quick follow-up on the Mirametrix and the discussion around monetization of software and Mirametrix specifically. I was wondering if you could just spend a minute on that and trying to understand Mirametrix sounds like, at least initially certainly plays into some of your consumer facing end markets client computing, probably other consumer devices, and just wondering in terms of monetization, are you leading with a sale of Mirametrix software and those types of cases like Lenovo or in some cases, is Mirametrix pull FPGAs in and that would be how you monetize the software, just wanted to maybe understand that sales process a little bit better?
Jim Anderson: 44:11 Yeah, good question, Ruben. And I would say the answer is yes to both, right. In some cases, Mirametrix, kind of leads the sale and pulls the silicon through. And in other cases, our existing position across multiple different applications and industries helps pull Mirametrix into new accounts. We have over 9,000 customers. We have many, many more customers than Mirametrix, which was a relatively small company. And so, we're able to introduce Mirametrix now to an incredibly wide range of customers. 44:45 Certainly, client computing devices is a place where Mirametrix has already done well, but we see applications beyond that. You mentioned in consumer devices, but I would also mention industrial automation in robotics, automotive electronics, Mirametrix is kind of core capability, is not just artificial intelligence, but computer vision, technology in particular and we see applications for computer vision across multiple different markets that we serve. 45:16 So, I think there's, again, it's kind of yes to both of your questions. I think Mirametrix will pull silicon through, but we'll be able to introduce Mirametrix to accounts that they've never had access to before. And in terms of monetization, I think Mirametrix already brings its existing revenue stream with it and Sherri calibrated you earlier on just kind of the size of that at least last year. Our intention of course is to grow that Mirametrix metrics revenue stream and then to drive some of the revenue synergies that I just talked about beyond that.
Ruben Roy: 45:56 Okay. That's very helpful. And Sherri was asked just now on the gross margin, I guess that's part of it, but I guess Sherri, I understand what you're saying, 65% target that you gave us little less than a year ago. It’s a multi-year sort of target and it maybe ebbs and flows depending on other considerations, but in terms of your answer to an earlier question, just around some of your expansion strategies, I thought I heard you say that there are still – there's still some room left, I guess, just the way to frame those expansion strategies, whether their cost efficiencies or pricing optimization for the rest of this year, which sounds like it will keep the gross margins perhaps a little bit above that target in the near term, is that the way you were trying to frame that answer?
Jim Anderson: 46:47 Yes, maybe Ruben, maybe I'll add a little bit of additional color on this. I would say, we're very committed to continuing to expand our gross margin over time. I think you can see that commitment over the last three years, right, 2019, 2020, and 2021, all three of those years, we delivered about 200 basis points of expansion on an annual basis in each one of those three years. So, I think we've demonstrated not only a commitment, but a track record of gross margin expansion, certainly our intention to continue to drive margin expansion where we can and number of different initiatives to go do that, right? So, I guess that would be the additional color I'd provide on  .
Ruben Roy: 47:34 Good enough and yes, congrats Jim on that. So, thanks very much.
Jim Anderson: 47:39 Thanks, Ruben.
Operator: 47:42 This concludes the Q&A session. I will now hand the call back to Lattice’s CEO, Jim Anderson for closing remarks.
Jim Anderson: 47:51 All right. Thank you, operator, and thanks again everybody for joining us on today's call. We're very pleased to have delivered strong revenue growth, gross margin expansion, and record profitability in 2021. I think Lattice really entered a new growth phase, a new accelerated growth phase in 2021. 48:09 We're really excited about the year ahead of us, especially given the strong momentum we have across the customer base and the continued expansion of the product portfolio. So, thank you for joining us again today and we look forward to providing you with more updates in the future. 48:24 Operator, that concludes today's call.
Operator: 48:27 This concludes today’s conference call. You may now disconnect.